Alexandre Bompard: Ladies and gentlemen, dear shareholders. It's a pleasure after 2 years during which the health situation had deprived us of the possibility to meet you in person for our Annual General Assembly. To those who have been able to join us in this space at the [ Dock de Paris ], I welcome you all. I greet those who are following us from far away, and I thank you all for your loyalty to Carrefour and for your attention today. Joining me at this meeting are Carine Kraus, Executive Director of Group Commitment; Laurent Vallee, Group Corporate Secretary; and Matthieu Malige, Finance Executive Director and Group Management; Mr. Jérôme de Pastors, representative of Mazars will also speak during our discussions on behalf of the college of statutory auditors. Finally, I would like to thank Mr. Stephane Israel, Lead Director of our Board Director; and Mr. Philippe Houze, Director and Vice Chairman of the Board of Directors, for their presence here today. I would like to extend my thanks to all our directors for their strong commitment over the past year. Never before have we asked so much from them during 8 board meetings and 21 committee meetings for their attendance, which reached 99%. And for the skills they gathered so energetically at the service of our group. To constitute the bureau of our assembly, I propose to the 2 shareholders present and accepting or representing both by themselves and as proxies, the greatest number of votes, namely Galfa, represented by Mr. Philippe Houze; the Peninsula Europe company represented by Mr. Alexandre Guarini. And I suggest Laurent Vallee as the Secretary of Assembly. The bureau is then constituted. I also specify that Mrs. Christine Louvion from the firm SCP LPF & Associés and Bev is also present at this assembly. During this meeting, we'll have the pleasure to trace the fine trajectory of our group quarter after quarter since 2028. We'll first have a look back at the first -- at the year 2021, which the success of our groups, and we will present highlights and key figures, both financial and nonfinancial. We will then present the favorable outlook for Carrefour in the highest tax year 2022, during which we will unveil our next strategic plan. I give the floor to Laurent Vallee to proceed with the regulatory reminders and to specify the agenda.
Laurent Vallee: Thank you, Alexandre, ladies and gentlemen, shareholders, you are meeting in an ordinary and extraordinary general meeting following the notice of meeting sent to registered shareholders by individual letters on May 16 and by means of the published notice in the ballot on April 27, 2022, for the prior notice of meeting and in the journal of legal ads to [indiscernible] of May 16, 2022. As for the agenda, it is composed in its ordinary part of 15 resolutions. The first 3 meetings concerned the approval of company and consolidated financial statement as well as the allocation of income and the setting of dividend. Resolution 4 concerns the report on regulated agreements, resolutions 5 to 8 relate to the governance of the company; resolutions 9 to 12 relate to the remuneration of corporate officers; the #13 is new. Its purpose is to involve in a consultative manner all shareholders in the company's ambition to fight climate change. This is the Say on Climate. Resolution 14 authorizes the Board of Directors to trade in the shares of our company. Resolution 16 is devoted to the powers to carry out formalities. The extraordinary part of the agenda includes only one resolution. The purpose of Resolution 15 is to allow the Board of Directors to reduce the company's share capital by canceling shares. The company has not received any request to include draft resolution in the agenda of the meeting. Finally, all legal documents have been deposited on the desk in accordance with legal requirements. These documents are recognized as regular by the bureau. The documents and information referred to in articles R225-81 and R225-83 of the French Commercial Code have been sent to the shareholders who have requested them. These same documents and those refer to [ Articles L. 225-515 ] and sequence of the French Commercial Code were made available to the shareholders at the registered office within the legal time limits. I'm asking you to acknowledge these statements to Mr. Alexandre Bompard. The prior registration of various shares required by the Articles of Association and the Notice of Meeting was duly justified. A meeting at which more than 1/4 of the shares comprising the shares capital and having voting rights are present may validly deliberate on both the ordinary and extraordinary resolutions on the agenda. I will inform you on the final figures just before we proceed to the vote on the resolutions to be submitted for your approval.
Alexandre Bompard: Ladies and gentlemen, dear shareholders, it's already been more than 4 years since we launched our Carrefour 2022 transformation plan. During these 4 intense years, all of Carrefour's teams, and there are many of them represented in this room today, have combined their efforts in stores, in digital, in logistics, in merchandise, in all of our services and in all of our 300 positions to give our group a new momentum. Since January 2018, together we have gone through several phases, a turnaround phase, first of all. 2018 and 2019 were years of refounding and accelerating catching up where we had to get back on our course, repair one by one all the fundamentals of our business and regain competitiveness. The year 2020 was very special, deeply marked by the crisis. This was not always perceived at the time in a period of very high intensity. But the year of the test in 2020 was also a year of change for our group. We have collectively reached a milestone in the quality of our operations, in the level of satisfaction of our clients and of course, in our results. Since this decisive year, our new growth model built on omnichannel has given a lasting boost to our sales, profitability and financing capacities. In this respect, 2021 is the year of all confirmations for Carrefour. Confirmation, first of all, of the proper execution of our strategic plan, each aspect of which you know, our growing digital power e-commerce sales have more than tripled to reach EUR 3.3 billion. E-commerce growth is outperforming that of the market in which we operate by 15 points. And more and more customers are placing their trust in us. More than 3.5 million customers won since 2020. A fast expansion of our store base. As a result, we have reached our '22 target of 2,700 local store openings a year ahead of schedule, and we will exceed it by the end of the year. An attractive own brand. We have made our own brand leader present in all our stores, in all our catalogs, in all our formats, in all our countries, a brand appreciated by customers who voted, it's the best private label in 2021 and a dynamic brand, which is driving sales and growth and the demand for food transition for all. An organization with control costs more agile, more open to franchising, an organization that has cease to focus on itself and its own complexities and is now entirely focused on the satisfaction of its customers and partners through the Carrefour 5/5/5 method.  Under these new impulse, our Net Promoter Score has increased by more than 20 points since 2018. In the Carrefour banner it's constantly attracting new partners. Secondly, it confirms the sense of service and unfailing commitment of our teams. In all our countries from Latin America to Europe to Taiwan, they have been mobilized for more than 2 years in a difficult health context, which has seen several successive waves of epidemics, of confinements, lockdowns, the implementation of health passes and numerous regulatory changes in addition to extremely rapid changes in our businesses. Every time in every life as well as in exceptional moments, the women and men of Carrefour has responded positively and organically. They have done it for all our customers in all services and they did it in a peculiar way for our most vulnerable customers by training in sign language, by making our stores more adapted to those suffering from autism. They have welcomed and trained more than 19,000 your people in France over the past year, an absolutely record number at the time when job opportunities were scarce. And they have, again, mobilized to provide emergency humanitarian aid to Ukrainian refugees in Poland and in Romania. The achievements of our group are, above all, theirs. I pay tribute to them, and I thank them. And I want to tell them that our group will continue to invest in them, to train them, to make our social elevator principles which is the school of leaders. This school of [indiscernible] in Argentina and which has spread to all our countries because I want them to train to progress and to be able to nurture themselves within Carrefour. Confirmation, finally, on the performance of our model, a performance that extends to all areas commercial and financial performance first. In 2020, we had the strongest sales growth in over 20 years . In '21, we continue to grow on this very high track record with comparable sales up to 2.3%. Over 2 years, this represents more than 10% growth for our group. Our commercial performance is an outperformance of our competitors. Quarterly after quarterly, we are gaining market share in our countries, as well as in all of our e-commerce activities, a real distinction at a time when some of our competitors were taking more and more space. The upward trajectory has continued since the beginning of the year. In the first quarter, our sales growth reached 3.4% on a comparable basis at a group level, with e-commerce at more than 10% on a very high historical level. Dear shareholders, this commercial dynamism is in turn reflected very positively in the financial health of the group. In 2021, our group once again improved its current operating income, up 8%. This increase comes from all our activities, physical distribution, e-commerce, thanks to higher volumes and productivity and financial and merchant services, which are regaining good momentum after the impact of COVID in 2020. Within this solid performance for the entire group, France stands out with a 20% increase in current operating income in 1 year. Our growth model is also highly cash generative. Our free cash flow is reaching over EUR 1.2 billion, exceeding both its record level in 2020 and its ambition target we had set. It will continue to exceed EUR 1 billion this year. It's a commitment we have made and one that shows the confidence and ambition of our group. This high level of performance of our group also extends to our social and environmental actions. Our CSR and food transition objective have once again been exceeded with our synthetic index standing at 111%. I'm also pleased that our progress has once again been recognized in the opinions of our clients who have rewarded several of our CSR initiatives in the third-party ratings, which give us the highest score in the fight against climate change and in the appreciation of investors who massively subscribe to our first sustainability-linked bond issued of EUR 1.5 billion in March. Dear shareholders, I have emphasized the financial strength of our group and the continued improvement of our performance. They are at the service of a value creation model that is balanced between all our priorities and our stakeholders. We maintain a high level of investment between EUR 1.5 billion and EUR 1.8 billion each year to renew our assets and strengthen our position, including through targeted acquisitions. For the benefit of all our employees we've financed a social model that is among the best in our industry. It includes unique mechanisms for annual salary increases, profit sharing and incentive schemes, which are at their highest level in a decade, as well as exceptional bonuses for the commitment of our teams over the last 2 years. We're also pursuing an attractive financial policy to reward the shareholders who support us. This is reflected in the steady increase in the dividend, which your Board of Directors proposes to pay in full in cash for the second consecutive year. And to raise it to EUR 0.52 per share for fiscal year in 2021 compared with EUR 0.48 per share in 2020, an increase of 8%. Finally, the good results we have accumulated have a clear consequence. The appreciation of our share price, since the beginning of the year, our share price has risen by more than 20%, while at the same time, the CAC 40 has fallen by nearly 10 points and our European competitors by more than 50 points. This trajectory testifies to the change in perception of Carrefour and validates the strength of growth model we have built. Before turning to the outlook for our group, I would like to take a look at the progress we have made in 2021. [Presentation]
Alexandre Bompard: Dear shareholders, the situation of our group allows us to look to the future with confidence and ambition. This is a clear advantage in the year 2022 that combines strong current issues with the preparation of our next strategic plan. Our first line of action for many months now, has been to fully integrate a new market environment into our strategy, an environment marked by a succession of crisis. Since the challenge of an ongoing health crisis and a climate crisis whose urgency is growing are compounded by the effect of a highly unstable geopolitical world. This combined crisis are disrupting global supply chains and creating strong pressures on energy, transport and raw material cost and ultimately on prices. Our sector is at the heart of this crisis because it is as close as possible to the customers and because its historical mission is to reconcile product quality produces remuneration, industrial agreements and fears about our purchasing power. We are, therefore, dealing with the current situation with a great deal of vigilance and with 2 clear requirements in mind: to defend the purchasing power of our customers while continuing to strengthen our business model. We have several advantages to achieve this, expertise in purchasing and procurement. We work very closely with our partners to limit and delay price increases. And we use our international scale to find alternative sources of supply wherever necessary. In this respect, while inflation has been unheard of in Europe for more than 30 years, our activities in Latin America have given us an extensive experience. The attractiveness of our offer, it combines powerful and very competitive price format, hypermarkets, cash and carry, discount through Supeco promotions and loyalty programs, which are the strong assets of Carrefour for our customers and our own brand, which is highly appreciated for its value for money. Our simple brand offers our customers more than 700 everyday products at ultra competitive prices. Since they are, on the average, 5% to 10% less expensive than their hard-discount equivalents and 30% to 40% less expensive than the national brands. Lastly, a culture of cost control line by line, which is now firmly rooted throughout the group since in '18. Our cost reduction programs have not only been achieved but exceeded. And the good momentum of 2021 has enabled us to further raise in targets bringing our savings to EUR 2.7 billion by 2023 by -- from the initial EUR 2.4 billion. Dear shareholders, in a volatile and uncertain environment, our group has proven its ability to master its operational and business models and to achieve its objective. But I can see in 2022, a year of projection towards a new Carrefour, more digital, more committed, more efficient. In a word, more ambitious. This is not the time to reveal all details. I would like to keep you curious until the announcement of our next strategic plan in the fall. But for those who are impatient, an analysis of our decisions over the last few months should already give us a first glimpse. It is true, first of all, that our ambition to make our group as a leading digital retailer. We have 2 very concrete objectives to achieve EUR 10 billion by 2026 and to increase our operating income by EUR 600 million by the same date by improving the profitability of our e-commerce operations and accelerating the digitalization of our financial service and becoming the European leader either in Data and Retail and Media. To achieve this, we have already launched a major digital offensive multiplying initiatives in high-growth markets in nonfood e-commerce and online B2B, in home delivery, which is reshaping the landscape of food e-commerce. We are building a strong leadership position in this area, particularly in France where we have gained 6 points of market share in just 1 year. On all forms of commerce, quick commerce, where we have joined forces with Uber Eats, and with Flink, on social commerce with  Brut, on personal shopping with Everli. Finally, on all data solutions via our retail media platform, Carrefour Links, which is strong with more than 8 billion highly granular data and already has more than 230 active customers. In addition to this initiative, there are other which although less visible are not less decisive for our performance. I'm talking about our tech architecture, which will be entirely cloud-based by 2026 and the accelerated digitization of all our businesses, processes integrating the contribution of artificial intelligence and ultra personalized data solution. Through those numerous achievements, our group determination is clear: To be present across the entire digital landscape in every market; to seize all innovations to private; equity fund we set up in April is designed to detect them at an early stage and involve all of our teams. I want to provide 100% of our employees with the skills they need to take part in this new phase and to put digital and data at the heart of our -- of all our businesses. This is what -- why we are -- what we are doing by deploying workplace, our internal social networks throughout the group and by launching our digital training programs, which have been brought together in a digital retail academy. We will continue with equal strength in the years to come to reinforce our leadership in the food transition for all. I believe that being a major group in the future means making CSR the backbone of our growth model. And I believe that being Carrefour today means assuming the historic goal that we have in each of our country of activity that of leading contributor to the economy, to society and basically to the very idea of progress. This is why 3 years ago by almost unanimous vote at the General Assembly, we became one of the first companies to adopt this [ raison d'être ]. This is why each year, we expand our scope of actions and our CSR ambition. We have done so in recent months, notably in the fight against climate change by setting a goal of carbon neutrality by 2040 and even 2030 for our e-commerce operations in the area of inclusion aimed at the younger generation and our customers' disability. It is with the same will for progress that I started at the beginning of the year a commitment at the management level of our group with 3 big commitments; a social one for inclusion, diversity within the group and promote employer mark; an environmental one for our corporate social responsibility; and a solidarity one, which integrates our actions. It wants to inculcate the  [ raison d'être ] of the group and give more coherence to our social corporate responsibility so that it feeds in all the company. I wanted to, at its head, Mrs. Carine Kraus, who will come in a few moments to give more details about the corporate responsibility policy of the group. Our vision of the future of Carrefour is also to continue to consolidate our positions through our expansion and acquisitions -- targeted acquisitions, which will create added value. The most striking example for me is the Grupo BIG, of which the acquisition is now in its final stage this year, thanks to the amazing work of our teams. Grupo BIG constitutes for our group a strategic opportunity that is quite exceptional and it makes us change our dimension in Brazil. We are, of course, expecting a big contribution from it in terms of growth and creation of value as of 2022. The history of Carrefour in Brazil is very much symbolic of our ambitions. Before the Carrefour 2022 plan, we were the second market actor. And within just a few years, we conquered the first spot. And we created a vast ecosystem of formats and services. We built a strong actor -- committed actor with a huge potential for development. Ladies and gentlemen, dear shareholders, the success trajectory, which is ours since 2018, allows us to open with confidence, a new chapter in the history of Carrefour, which will become more concrete with the announcement of our next strategic plan. I have several convictions on this. The first one is that our company can base itself on a very high-skilled team of managers, and I would like to welcome and thank the quality of your work and the experience of the Board of Directors and the commitment to Carrefour for many, many years of Mr. Philippe Houze and Mr. Abilio Diniz and their families. I would like to very warmly and to all our administrators and their friends, thank them for their support and their active contributions. My second conviction is that at the time where our sector is changing as rarely before in its history, our group has many opportunities of creation for value at its disposal and is able to seize them. And I see there a very good news for all our stakeholders. The entirety of these convictions forms a certainty. This new chapter will continue the beautiful history of Carrefour. And in this ambition, I am very happy, ladies and gentlemen, dear shareholders, to be able to count on your loyalty to make our group prosperous. And I would like to thank you again for your commitment. I will now leave the floor to Matthieu Malige, who is going to present to you in more details the results of the financial year 2021 and the first quarter of 2022.
Matthieu Malige: Dear stakeholders, I am also extremely happy to find you all here after 2 years -- being here physically after 2 years remotely. I would like to, first of all, start our financial review with a few key elements of the financial year 2021. The figures you can see on the screen confirm the regular growth of our group. And this, again, in 2021, with a strong 2020 basis. They reflect the good execution of our plan, which leads to an improvement of our client satisfaction and profits and gains in market shares. So the sales in shops for the year 2021 have increased of 2.3%. The current operating results is again growing in 2021 and it is now established at EUR 2.272 billion, a growth of 7.7% with constant exchange rates. The cash flow -- the net cash flow in 2021 is also growing with EUR 1.220 billion, a lot more superior to our objective which was just EUR 1 billion. and the financial debt -- the net financial debt, remained stable at EUR 2.6 billion as of December 31, 2021. Let's start our analysis with the turnover. The 2021 turnover progress of 2.3% by comparison. On 2 years, the comparable growth reached 10.1%. So this performance reflects the improvement, the continuous improvement of the group's model and the good management all throughout the pandemic. In France, the turnover is growing of 1.8%, which shows the dynamic of gain in terms of market shares and the super performance of Carrefour within all these formats. In other European countries, the turnover is unfortunately decreasing a little bit of minus 0.1%. In Latin America, the comparable growth reaches 9.3% in 2021. In Brazil, the turnover by comparison is progressing slightly with -- after a growth of 18% in 2020. Argentina is also very dynamic. In Taiwan, the turnover decreases by 3% in bad context related to the pandemic. The total TTC turnover 2021 of the group is up EUR 81.2 billion, a progression of 2.6% pre-IAS 29. It is composed of the comparable growth of plus 2.3% that I just detailed to you, the expansion and perimeter effect of 1.2%. The exchange rate of minus 2.7%, which is mainly related to the erosion of the Argentinian currency, the Peso, and the contribution of petrol sales, which have increased majorly with the increase of prices and new volumes, thanks to less restrictions on traveling through Europe. The business dynamic that I just showed to you is supported by the main pillars of the strategic plan of Carrefour 2022. First of all, the food e-commerce, which increases of 20% in 2021, and since 2017, it has tripled, it has more than tripled. In terms of expansion in Carrefour strengthens its presence in terms of growth formats, proximity shop, Supeco, Cash & Carry and Atacadao in Brazil. At the end of 2021, the group reached a year ahead its objective of opening proximity shops with more than 3,000 new shops opened since the beginning of 2018. The organic turnover has doubled since 2017 and reached EUR 2.7 billion in 2021. Carrefour is today the leader in terms of the sales of organic products in most of these markets. Finally, the Carrefour brand products that have an excellent value for money represent 31% of the turnover in 2021, and they continue, therefore, their regular progression of 2 points per year. I now suggest that to detail to you the current growth per geography of the current operating results. France is experiencing a very strong growth with an increase of 20% to EUR 757 million. In general, the other countries of Europe have had a good year, with a progression of plus 3.3%. And that is EUR 780 million in a very competitive context. In Latin America, the RAC for 2021 is increasing of plus 6.3% exchange rate, constant exchange rate with EUR 768 million after a strong increase in 2020. The current operating result is decreasing in Taiwan by 78 million because of the health restrictions, which affected the attendance in hypermarkets. The increase in 2021 was based on 2 dynamics. First of all, a decrease of the rate of gross margin, which reflects the competitiveness and the evolution of the shops and the increase of petrol sales. Second dynamic, distribution costs have been improving quite significantly, thanks to new plans that have been put in place. Now let's look at the profit and loss account. The noncurrent result is improving by EUR 100 million. The financial fees are improving of EUR 55 million. The group was able to refinance itself in good conditions in a context of low rates. The normative tax rate is improving by 29.9%, reflecting the evolution of a mixed geography and the decrease of the tax imposition in France. And so the results -- the net result of the group is increasing at EUR 1.72 billion in 2021. The profit per share is increasing by EUR 1.47, which is an increase of 17%. I was telling you in my introduction, Carrefour generated a cash flow -- a net cash flow -- a record net cash flow, sorry, in 2021 and at more than EUR 1.2 billion. This growth looks like this. The EBITDA progress is of EUR 85 million. The exceptional items are decreasing at EUR 175 million. The variation of need of funds is contributing negatively at minus EUR 122 million because anticipation in a context of inflation due to tension regarding supplies. Regarding investments, we reached EUR 1.626 billion in 2021, a strong growth compared to 2020. A few words on our financial statement now with the evolution of the net financial debt. In 2021, it stayed stable at EUR 2.6 billion. The cash flow -- the net cash flow generated has been balanced by the payment of dividends at EUR 576 million, the purchasing of financial actions at EUR 700 million, and the acquisition of sessions representing a net impact of EUR 88 million. The group has proven very disciplined financially and strengthened its statement and its cash flow in 2021. This is a major advantage currently in the context that is marked by very quick rapid change, food supply, food distribution and obviously, a very complex health context in the past 2 years. Today, the group is noted BBB by the agency of notation Standards & Poor's and Baa1 by Moody's. Last March, Carrefour placed with success a bond issue related to a sustainable development for a total of EUR 1.5 billion composed of 2 layers, 2026 and 2029. This bond was registered more than 8x. It is indexed on the objective plan of sustainable development of the group. To complete its cash flow, the group has 2 lines of credit that haven't been used for EUR 3.9 billion, which will mature in 2026. Dear stakeholders, as you have seen, the key performance indicators of your group have improved regularly in 2021, continuing therefore, the performances of past years. Carrefour is winning new market shares and is improving its profits year after year and is able to generate more cash flows. This dynamic and this solid financial position strengthen the confidence of the management and of the Board for the perspectives of the group. So the Board is suggesting to this assembly a dividend of EUR 0.50 (sic) [ EUR 0.52 ] per action for the financial year 2021. This dividend is increasing by 8% compared to last year's EUR 0.48 that was paid last year. With the vote of the third resolution, it will be paid the 9th of June. A few words on the performance of the quarter -- of the first quarter of 2022. Carrefour registered a new strong quarter of growth. The sales have progressed of plus 3.4%. The turnover increased of plus 9%, including an increase of petrol sales and a favorable exchange rate. In France, Carrefour Super performed in the market with a stable turnover. In Spain, Carrefour sped up the growth with plus 3.4% and compared to the first quarter, and it continues to gain market shares. In Brazil, the group is experiencing a very strong sequential improvement with plus 7.5% of growth compared to last year. To conclude, I would like to present to you the stock exchange call since last year's General Assembly. It increased up 15% in a year with an increase of more than 20% since the beginning of the year. Going over the CAC 40 and the indicator of comparable food distributors. I thank you for your attention.
Alexandre Bompard: I would like to thank Matthieu for his presentation, and I would like to leave the floor now to Ms. Carine Kraus, that she present you with the objectives of our group in terms of corporate social responsibility; and Laurent Vallee will present to you the evolutions regarding the management of the company and the pay to the executive management.
Carine Kraus: Thank you, Alex and I will now start to talk to you about the corporate social responsibility of the group Carrefour, and I will detail to you the main objectives, the main results for 2021 and the beginning of the year 2022. The corporate social responsibility indicator is composed of 15 complementary objectives, around 4 major axes: products, shops, clients and collaborators. This indicator is a real compass for us at Carrefour because it allows us to measure in a very precise way the performance of the group in terms of CSC. It is a very -- it is an indicator that is audited externally, and it's a significant part of the pay -- the variable pay of the management of the group  to guarantee the taking into account of CSC issues. For this indicator, the performance in 2021 is up 111%. And so we have gone beyond the 100% as in previous years. We have had good result in terms of commitment of the collaborators, food transition in shops 120%, diminishing packaging 119% or reducing CO2 emissions, 116%. This is for me the occasion to thank all the collaborators of the group who contributed to this very good performance in terms of CSC in 2021. The performance of Carrefour in terms of extra financial are also -- are evaluated in an external way as well and confirmed the good performance in term of our CSC indicator. The assessment of the DJSI, CDP and Vigeo Eiris and MSCI, all positioned Carrefour in a leadership position in this sector. When it comes to the DJSI, Carrefour is part since -- has been part since 2017 of the most performance companies. We are well noted the first retailer in France and among the 61st at global level. For the CDP Carrefour obtained in 2021 the A grades in terms of its climate action, which places us among the 200 best companies and among the 12,000 companies evaluated by the CDP. Finally, Carrefour had a notation that was satisfactory at Vigeo Eiris and MSCI. After presenting these indicators, there is now a thematic focus on our main actions. The food transition for all and our program Act for Food, it is a great satisfaction for us to see that the appropriation by our clients of our program Act For Food is strong. We're talking 78% of our clients interviewed in shops who consider that Carrefour is helping them to have a more healthy diet and a more responsible diets at accessible prices. We have also developed initiatives regarding sustainable agriculture and new products. We've got more than 38,000 producers in organic, local subsidiaries. And we have taken new commitments on animal well-being, and we've launched a European competition on new products for food transition, where 400,000 -- more than 400,000 of our customers voted to rate their favorite ones. We were mobilized on the fight against wasting food. We had 5 million -- we've also managed to reduce packaging by 11,000 tonnes since 2017. Among the ambitions of Carrefour in terms of extra financial ambitions, climate is the main one. A few words on Scope 1 and 2 about our emissions, direct emissions, that is to say emissions that are produced by our shops, we signed during COP 26 at Glasgow in October 2021. The Race to zero, that is to say, that is an initiative of the UN, where companies are committed to carbon neutrality for 2040. We will be carbon neutral in 2040, which means that we are committed to reduce our emissions for the scope 1 and 2 of 50% until 2030 and 70% until 2040. We are doing this through 3 main levers, which are first having recourse to 100% green energy as of 2030 by buying contracts with decarbonized energy, replacing our fluids by nonpolluting ones and a strong effort in shop to reduce our consummation of energy. As you can see at the right of the slide, in 2021, we are ahead of our commitments in Scope 1 and 2. So we are very much confident regarding our capacity to reach them in 2030. We are also committed on Scope 3, which are indirect emission. That is to say those are constituted by products and packaging that we make available in shops and their transports. We took in 2020 a commitment of reducing 29% our emission Scope 3 as to 2030 with several levers of action for this. We launched a very innovative tool, which is the platform 20 Megatonnes, through which our main key providers are committed to reducing their emissions in a detailed way to reach this famous 20 Megatonne [ awarded ] as of 2030. We are also working on our vegetable offer or reducing packaging, which also contributes to reducing indirect emissions. And we are also working on product transports by the new fleet of truck. We have now 600 new trucks who are using biofuel. A few words now about diversity and inclusion, which, as you know, are very important topics for Carrefour. As of 2004, we signed a charter of diversity within the company. Diversity, men, women, first of all, where the feminization of management progresses in a constant way, with 40% of women as managers at Carrefour. And our objective for 2025 is to have 35% of women among the main group leaders, which we call the top 200. Then young people, the year 2021 was marked by a massive plan of recruitment of 19,000 young persons, mostly from priority neighborhoods. We have welcomed 3,000 young people in secondary school to show them the world of retail. We promoted also internally with a new tool, which allows to follow our employees through 6 months with the possibility to progress within the company. And after the massive success of the leader school in Argentina, Spain and France, new schools were created in 2021 in Poland, Italy, Belgium and Romania. The main handicap finally Carrefour is dedicated to its employees, to increase the employment rates of persons with handicap but also within our shops to have a customer experience that is the most inclusive, possible. We are very happy to have generalized the system of silent hours for 2 hours per day. We reduced noise and light intensity so that our customers, especially those with auditory and vision problems can come to our shops easily. And also we also developed a plan to learn sign language in France. All of these commitments are completed by the actions of the foundation, which has been in existence for more than 20 years. In 2021, the foundation financed 72 projects in France and internationally, for a total budget of EUR 6.75 million. The action of Foundation Carrefour was marked this last month by the need for emergency help. The Foundation funded an exceptional help of EUR 3.8 million during the COVID period. Carrefour Foundation also mobilized these last this past week in favor of Ukrainian refugees from Poland and Romania. The foundation from the month of March, gave first goods and coordinated the launch of [indiscernible] at the [indiscernible] in shops on our e-commerce websites, which were all very successful. A few words finally on the 2022 perspective to tell you that the first 4 months of the year confirm the rhythm and the commitment, the level of commitment of Carrefour in terms of corporate social responsibility. Among our initiatives, in March 2022, our sustainability-linked bonds, which is a bond issue which is related to the objective of the CSC. This bond was subscribed 8x and represent a total of EUR 1.5 million, which show that our financial markets are growing and show our capacity to maintain our CSC commitments. Our efforts for fighting climate change is continuing with charging boards in our car parks, or developing products of bio vegetables plant-based food, which is one of the main way to fight global warming and climate change because we consider -- we know that animal feeding represents 50% of emissions. We have a competition next week with 250 start-up from 50 countries who applied to commercialize their products in our shops. We also continued since the beginning of the year to develop our program Act for Food with many initiatives for a more virtuous diet with the launch of the 132 edition of Quality Carrefour. We signed the Carrefour charter between young agricultures and we signed a protocol on the production of veal in Brazil. Just a few words, therefore, to tell you that we know among our CSC teams that we have to remain very humble faced with the challenges that we are facing in terms of sustainable development. But you can count on our energy and our determination to continue these commitments in 2020. I thank you for your attention, and I'll give the floor now to Laurent Vallee.
Laurent Vallee: Thank you, Carine. Ladies and gentlemen, I will deal successively with changes in the group's governance and the compensation of corporate officers. The Board of Directors of your company is composed of 50 members, and you'll find on the slide that is currently screened, the composition of the Board in 2021. The main change in the composition of Board of Directors in '21 was co-option with the co-option of Mr. Arthur Sadoun as an independent director and the departure of 2 non-independent directors. The assessment of the work of Board of Directors makes it possible to establish a proper functioning of the group's governance and our universal registration document contains -- on this point, additions to the elements I am about to indicate to you. The Board of Directors and its committees met 29 times in 2021 with a remarkable overall attendance rate of 99%. The participation of the members of the Board of Directors in the work of the committees and amounts of persons, which demonstrates their involvement in the service of the company. As you can see, the gender balance of the Board of Directors and its independence rate comply with the requirements of the AFEP-MEDEF code. I will now go into more detail on the main feature of the group's governance. Since 2018, the Board of Directors has thoroughly modernized the group's governance to take into account, on the one hand, the evaluation of its operation, which is carried out every year. And on the other hand, the shareholder dialogue that is maintained throughout the year to take into account best market practices. The Board of Directors is committed to implementing a governance structure that is adapted, balanced and capable of dealing with the circumstances and challenges specific to the Carrefour Group. In this respect, a great deal of work has been carried out since 2017, aimed at making improvements to the governance of your company. The Board of Directors has been reduced in size from 19 members in 2020 to 15 members today. The smaller size allows it to operate very efficiently with a direct and sustained dialogue with the management, which enables the Board of Directors to play its role fully. Since 2017, the composition of the Board of Directors has also been thoroughly renewed with a view to achieving balanced representation, particularly in terms of the independence diversity, expertise, agent, seniority of its members. The number of women on the Board of Directors has increased steadily over the period from 40% to 46% between 2017 and '21. The CSR Committee and the Compensation Committee are also chaired by women. This increase in the number of women in management bodies is at the heart of our company's diversity and gender equality policy. It's also reflected in the Group Executive Committee. Today, the Board is comprised of 5 women out of 16 members which reflects the commitment we had carried out previously. With regard to the independence of rate of directors, this has improved significantly from 52.9% in '17 to 61 today. In addition, apart from the Strategy Committee, the Board of Directors Committee are chaired by independent directors. Lastly, the Board of Directors has straightened its skills, particularly in the areas of digital and CSR in order to better support the definition and implementation of the group's strategic plan. The Board of Director has also strengthened the balance of government; in 2020 decided to appoint Mr. Philippe Houze as a Vice Chairman of Board of Directors and to appoint Mr. Stephane Israel as an Independent Director. In 2021, the Board of Directors extended the powers of the lead independent director, enabling him or her to be consulted on the agenda and timetable for Board meetings to propose the inclusion of specific items on the agenda of board meetings and to organize meetings without the presence of executive directors. I would add that in 2021, a year in which the strategic committee was particularly busy meeting 8 times to prepare the work for the next strategic plan, the Lead Director attended all of the committees meeting. And finally, in accordance with the recommendation of the AFEP-MEDEF Code, Thierry Faraut, a director presenting employees joined the Compensation Committee in 2022. The evaluation of the Board of Directors carried out each year in accordance with the recommendation of the AFEP-MEDEF Code and under the supervision of the independent lead director. We feel that in 2022, the directors were satisfied with the overall functioning of the Board of Directors and its committees, as well as with the relations maintained with the company's general management. The focus of improvements chosen by the members of the Board of Directors for 2022 is to deepen the strategic work through the organization of ad hoc sessions with operational managers, which has been put in place since 2021 and will be continued in 2022. In particular, sessions have been dedicated to the group's digital transformation and to subject specific to a certain region of the group. Specific sessions of the Board will be dedicated this year to the preparation of the strategic plan. The Board of Directors has set up several specialized committees to ensure the proper functioning of governance. Each committee in its field of expertise is responsible for issuing opinions or recommendation to the Board of Directors. And a report on its work, it's is made by its Chairman at the next Board meeting. The 5 specialized committees met during the year '21, and you will see that the attendance rate in all committees reach 100% for the 21 meetings held this year. Each of the committees deals with the subject assigned to it by a law or the rules of the market in term of government. The Audit Committee reviewed the company and consolidated financial statements and dealt with matters relating to internal control, the mapping of group risk and compliance issues. The Compensation Committee examine all matters related to the compensation of corporate officers and stock option plans. The Governance committee review and assesses good governance practices, in particular, the compensation of the Board Directors and the functioning of the company's governance system and participate in the development of the diversity and gender diversity policy of the Board and the group's management bodies. This CSR committee contributes to the development of sustainable development and social and environmental responsibility policies implemented within the group. In particular, it participates in the definition of the CSR and food transition index and the establishment of the group's ambition in terms of actions against global warming, which will be the subject of our consolidative vote within the framework of the same climate. The Strategy committee studies the group major strategic opportunities, and in 2020 for the preparation of the strategic plan conducted in-depth review of the group activity. I'll now turn to the decisions you need to make this year with respect to directors. The co-option of a director is proposed this year for your ratification. The term of office of Mr. Arthur Sadoun, who was co-opted on September 7, '21 will expire at the end of the General Meeting called to approve the financial statements for the year 2023. Three directors are also proposed for renewal for a 3-year term until the General Meeting call to approve the financial statements for the year ending December 31, 2024. The profile of the directors proposed for ratification or renewal this year are predicted and you see the background of Mr. Arthur Sadoun co-opted in September 21 as an independent member. Mrs. Flavia Buarque de Almeida, a member of the Governance Committee and who has been on the Board since 2017. Mr. Abilio Diniz, Vice Chairman of the new Strategy Committee and a member of the Board since 2016. And Mr. Charles Edelstenne, Chairman of the Governance Committee and member of the Compensation Committee and who has been a member of the Board of Directors since 2008. At the end of the general meeting, subject to the vote and the resolution relating to these renewals, the composition of the Board of Directors will remain unchanged. I will now get to the compensation of corporate officers. And first of all, the componenets of Alexandre Bompard's compensation. As you know, -- the say on pay system makes it compulsary for the general meeting to vote on the compensation of executive directors of listed company. With regard to the compensation paid for the year 2021, your General Meeting adopted following principles on May 21 of the -- of 2020. First, the compensation is subject for the most part to performance conditions. In fact, the annual fixed compensation, which, without performance conditions, represents 19% of the total compensation of target, while 81% of the variable portion of compensation is subject to the performance conditions. Secondly, this variable compensation is based on 6 criteria. Revenues, operating income and free cash flow account for 15%, 20% and 15%, respectively. NPS, CSR and quality of governance for 10%, 20%. 20% respectively. 80% of these objectives are quantifiable, and 50% of these objectives are financial in nature. At [indiscernible] meeting of April 2020 -- the year 2022, the Board of Directors on the recommendation of the Compensation Committee noted the rates of achievement of the quantitative criteria and determine its assessment of the qualitative criteria in order to set the variable compensation of Alexandre Bompard, decided to pay the variable portion of its compensation subject to approval by the General Meeting. With regard to the remuneration policy for 2022, the Board of Directors on the proposal of its Remuneration Committee decided to propose a general meeting, on the one hand, to maintain without changes -- without change the compensation policy relating to the fixed and variable annual portions of Mr. Alexandre Bompard's remuneration. And secondly, with regard to his long-term compensation in the form of a grant of performance shares and in order to limit the possibility of equalization between the various criteria decided to lower the maximum vesting rate, which are now between 15% and 130%. Now talking about the administers compensation policy for executive directors is therefore subject to the vote by General Meeting. You can see now on the screen you see a display but it does not call for any particular moment. I thank you very much for your attention.
Alexandre Bompard: I thank them for their presentation. The information concerning the activity of your group has been communicated to you during preceding speeches. It's completed and supplemented by the reports that have been made available to you and can also be found in 2021 Universal registration document and the 2022 Notice of Meeting. I would now like to invite Mr. Jerome de Pastors of Mazars to present our summary of the various reports of the Board and Statutory Auditors.
Jerome de Pastors: Thank you, Mr. President. Ladies and gentlemen, shareholders, on behalf of the Board and Statutory Auditors of your company, I'm pleased to report you on the performance of our mandate for the year ended December 31, 2021. I would remind you that our firms Deloitte and Mazars and their network audit the accounts of all the group significant entities. To this end, we have implemented an audit approach that takes into account changes in the risks incurred, the context of the health crisis and the economic environment in which the group and its subsidiaries operate. Our approach is adapted to Carrefour's activity in businesses and as well as its as -- to its organization. Finally, our audits conclusion were presented to the general management, the Audit Committee and the Board of Directors of our company. I should just summarize our 3 reports which are included in the universal registration documents, as well as the report on capital transaction, which is included in the notice of meeting for the General Meeting. Talking about consolidated financial statement, the objective of our work is to obtain a reasonable assurance as to the fairness and accuracy of the financial statements and that they are free of material misstatements. I will report on the 2021 consolidated financial statements appears on Page 379 to 382 of the universal registration document and expresses an unqualified opinion. The key points of our audit of the consolidated financial statements are as follows: The first concerns the assessment of tax risks in Brazil In order to assess the reasonableness of the estimate of the risk -- of these risk and of the information given in the notes to the financial statements, we have mainly analyzed the external opinions of the group's council and the procedures in [indiscernible] reviewed the estimates and position taken by management. The second, a key point of our audit concern the evaluation and counting of rebates and a commercial cooperation received from suppliers. We assess the effectiveness of the main controls implemented by the company and carried out sample tests on the commercial terms concluded with suppliers and the volumes purchased with them. We also draw your attention to the recognized impact of the application of the IFRIC decision relating to the calculation of the provision for defined benefit plans within the scope of IAS 19 and accounting for the configuration and customization costs related to the SAAS contract. We now turn to our report of -- on the financial statement, which is set on Pages 404 to 406 to the universal registration document, which expresses an unqualified opinion without comments. The key point of our audit concerns the evaluation of Carrefour France  S.A.S. equity investment and the allocated merger goodwill, which are subject to annual impairment as the net book value amounts to EUR 6.22 million on December 31, 2021. Our work consisted primarily in analyzing the consistency of the cash flow projection with our understanding of the outlook and strategic orientation of the group in France and assessing the reasonableness of the financial assumptions used with the support of our [indiscernible]. According to the law, we almost tested the accuracy and fair presentation of the information given in the Board of Directors' reports and corporate governance in respect of remuneration and benefits paid or granted to corporate officers and any other commitments made in our favor. Our special reports on regulated agreements is included on Page 231 and 232 of the universal registration document. I thank you very much for your attention, and I will give back the floor to the President. Thank you.
Alexandre Bompard: Thank you, Jerome, for this presentation. Dear shareholders, before proceeding to the question and answers with the audience, I would like to inform you that the answers to the written questions provided our Board of Directors have been published on the company's website under the heading General Meeting. I, therefore, propose to open the discussion with the audience, and we'll answer your question with the speakers beside me. Who wants to go first?
Unknown Shareholder: Individual shareholder. I had a question, within the Board of Directors, you only have 2 members that are not French, which means that 50% of your performance is done abroad. What do you think the future will tell with this configuration? I don't know about the current links between Carrefour and Publicis when Mr. Sadoun will be officially assigned as an independent administrator. All employees from Carrefour and Publicis will know that they are linked, even though they are considered as being independent. And then I also have word on [indiscernible]. I didn't see much on this in your documentation. I have the feeling we hear a lot about the possibility of Walmart to arrive in France or a Canadian actor, if you want to also grow your shares. I'm sure you don't have much possibilities in France to present project. And I have the feeling that during the game, rules tend to change. It looks like the game evolves entirely. So is -- were there some huge changes in your way to operate. And in your -- do you think that the government wasn't straightforward about this? Could we imagine a head and golden share that also all of a sudden appeared with warnings during the games. And lastly, just to conclude as far as administrators are concerned, and we're talking here about a small shareholders. I'm not sure about the type of -- about the representation of youth in that very frame.
Laurent Vallee: I will try and answer 2 of your questions regarding the company's administrators. The first one about Mr. Sadoun, President and Chairman of Publicis and you're asking about the links between our group and his. Well, in that regard, the situation is crystal clear. As any administrator, while his independency is assessed by the committee of governance and the Board of Directors. His coming back -- it is Important to understand the share that it represents with regard to Carrefour and to see if it has any influence. The assessment and the appreciation was made. And this element was made transparent and totally visible. It is something that we assess every year. On the second point that you have been tackling, well, as far as the Board of Directors, as of today, I think the situation is quite balanced in terms of age, in terms of profile. There's been a strong renewal of the Board of Directors since 2017 in a period of 5 years. I think it's been quite extended compared to how it was 10 years ago. And we're there to ensure a continuity and a continual renewal. It is of the utmost importance, and we are all well aware of this.
Alexandre Bompard: If  I may add something about this point, we're very happy to have this independent administrator in this new construction of the group, the committee -- the Board of committee is very happy about this. Now on the foreign administrator's rate, we're not talking about 2, but 3 representative from Brazil, as well as Claudia Almeida, who entered the Board 2 years ago, who's from Portugal, who knows -- who's very well acquainted with the situation in Spain and in Brazil which means 3 on 13 when we compare it to the French turnover. If we consider the position of Spain, we may have in the future, someone from Spain as a representative. We're still reflecting on this. On your question and, if I may extend it and try to have a bigger view on this consolidation issue, I am convinced about 2 things, 2 elements that are stable and constantly reinforced. The first one on what we presented, on what we have achieved in the past years our results. I believe that the Carrefour Group doesn't need consolidation. It's not in need of consolidation. It's undergoing a lot through digitalization. You have seen it in the different acquisition of groups like BIG. And we also have the means -- the proper means to develop country book by country, and we make sure that in France, we are in a position -- we make sure that we're in a position where we don't need further consolidation. The other idea is that the competition intensity combined with the strong means of investments to remain strong in terms of competitiveness. Well, you may observe that some actors do no longer have the means to invest and participate to this competition. So these are the 2 convictions I have because today, we are viewed as unavoidable, as people undergoing a huge transformation. Well, we're simply trying to do the job, to do the work needed with the shareholders, with our employees. We have brought every element on the table, and I believe that the way things have been conceived have showed how much we are strong in this -- on this market. It hadn't happened in a long time. It may happen that on such and such operations like in Brazil, we would have to be active. But as of today, what we need to keep in mind is that the group through its organic transformation has all the possibilities for the future.
Unknown Shareholder: That's good. Sorry, the position of the state, did you have actions throughout Europe in a more general way to defend your interests? When you sell, for instance, military aircraft and you can't sell them everywhere, it's complicated. But to be bought because you're selling cornflakes and cereals, the Canadian company that buys, I don't really see how that's complicated. I think the right of the Carrefour stake -- shareholders is at stake. What have you done? What have you done to defend our interest? You say that everything is wonderful, but if you look at the evolution, it's actually not extraordinary. Mr.  [indiscernible] has been there for a long time, not to name him, he's a pillar for the group for many, many years. I think the cases can be handed over, however, quite easily.
Alexandre Bompard: I think you need to remember something about the [indiscernible], the case. You need to bring it back to the context where the government took its position. It was a key moment. It was a very peculiar moment during the pandemic, the health crisis -- at the peak of the health crisis. And it's very important to measure and that's the advantage when you have a little bit of distance with time, the position that was taken by the finance minister at the time. And it was during this time during the time where food sovereignty and retail sovereignty and the role that we had on a daily basis was quite exceptional. So I think it was a moment which generated the position that was taken at the time. I suggest that we move to #8.
Unknown Shareholder: [indiscernible], individual shareholder, Secretary of the Association for the representation of employees, Carrefour employees; and CFDT delegate for the group. Mr. President, ladies and gentlemen, shareholders, do you still have the believe that it is possible to exercise a responsible stakeholding for the benefit of the company and its employees? And we know that there is a number of investors in this room who share this point of view. As you know, we have just published for the third consecutive year, our social barometer called I Grade My Company, and Carrefour employees attributed the grade of 4.5 out of 10 to their company. So a grade which is a little bit increasing compared to last year but it's stagnating since it was created. So at the origin of the grade, 3 key worrying points. The employees are saying that they don't trust the company to improve their working conditions or to evolve professionally. They say that they are not well informed about the company strategy. And 1 employee out of 2 is afraid of the recession from the company. Since the beginning of the transformation plan, more than 15,000 employees move to management location with all the implications in terms of loss of pay, social advantages and degradation of the social dialogue. Carrefour has become a retailer with 2 faces, a brand with 2 faces, one where the employees were sort of declassified, some of them fear an imminent declassification and employees are saying that in our barometer. They say -- well, in the barometer, they say that they love their company, but they feel that it's not reciprocate. Regardless, we would like to know your position about the future session of shops that are in location management. Now let's talk about the 2022 plan. This plan is very heavy as far as we're concerned. In 2018, we had 115,000 employees. Now we are 85,000. So we have -- so Carrefour has lost its first -- its status of first private employer of France. This has an effect on the working conditions, and of course, the level of service standards to our customers. Should we expect new redundancies and less staff? That's the question that we are asking. And to finish, I wanted to talk about purchasing power. The increase of salaries are not enough because of the beginning of the war in Ukraine. The salary grids are often caught up by the SMIC, the minimum wage. Our duty is to tell you that employees were expecting something a little bit closer than next year in terms of the exceptional situation we're facing. We are counting on a revision of salaries, quite imminent, for all the employees of the brands. It's not just up to the state to deal with purchasing power. Companies also have their own part to play. Thank you for the answers that you will give us and for your attention. Thank you.
Alexandre Bompard: Good morning, Mr. Mase. I want to take advantage of your presence to thank all the members of your Union -- Trade Union for being here today, for their presence here today. It shows the importance that our debates are for them. Thank you for your presence. It is sincere. I will try to answer all of your questions. We -- as you may expect, we don't agree on everything, but I will answer your questions. First topic that you mentioned which is a very important one, which is the question of listening to the teams. I have a very, very strong preoccupation as a manager, and I had it before, but I have it now, to have management teams or HR teams, our teams on the field who listen to the employees. And we had roundtables, it took many, many shapes. But I wanted to make that a little bit more scientific, I wanted to say, I launched when I arrived a study we have had 5 of them since 2019. On 25,000 collaborators, there is a little bit of a difference in the way it is made. I didn't want the study to come from the management because I didn't want to have a union study -- a dividend union study facing it. So I asked independent resources to have sampling and have a study country per country several times a year, measuring the adherence, to the strategy to the working conditions, the management of the group, of the country, of the well-being of the employees and so on and so forth. And we have had 5 deliveries since 2019, the last one dating back from the 1st of March of last year. What do these studies say? They say that we're not perfect, of course. And it's been so well done that it shows all the weaknesses per country. But they also show a trend, which for me is very important, so important actually that it is part of our indicator of corporate social responsibility. It is the question, would I recommend Carrefour as an employer? We were around 7% when we launched that study. And today -- it is a global study. Today, it is at 7.9% for France. So it shows that the adherence, the way things are going in the company are progressing within the company, within the management, the working conditions are improving. Not everything is perfect, of course. And you can carry out your own study. You are realizing your own study and I respect that. They give us complementary elements that we don't have, but please let me at least say that it doesn't have the same scientific value because the CFDT is going to the employees to ask them questions. Of course, it doesn't mean that I don't -- that I ignore it. I am quite interested in it. With Rami Baitieh, we are analyzing it, everything contained within it, the progression elements thank you to say, by the way, that for saying that there has been progression element this year, but it gives us a little bit of a different perspective. But we will continue on all the elements with the study of your depos because it gives us very precise and scientific elements and improvement access and progress access. Second question, the management allocation. That is Mr. Mase, is part of the corporate statement, by the way. That's where we have our really real disagreement. I'm going to try and explain it with different words. I do not consider that we have, on the one hand, Carrefour on one side, that is to say people that are on the Carrefour staff, on Carrefour's payroll, and on the other hand, on the other side, collaborators that are not part of the Carrefour adventure. I don't think that's the case. When a customer comes into our shop, he doesn't know if it's a franchise shop or an integrated shop. It is a shop that has the Carrefour label on it. I was listening to someone from a colleague from Leclare the other day who said, I have 120,000 collaborators in France. And I was saying, of course, it is right. If it was on his pay slip, he would say I've got 140 or 300 supermarkets. We have 160,000 people who work for Carrefour in shops, in management allocation and in franchise. We don't have 2 companies. We have one company with sometimes integrated shops, sometimes partners, sometimes investors or entrepreneurs who invest and develop a shop and open a shop. And I know that we don't agree on this topic, but it's really the way I conceive this combination of our integrated formats and the franchise. And we draw the conclusions from that. We draw those conclusions together. You cannot say that there is not a social silo when there is a transition from allocation management. You are at the origin of that, you have obtained with your colleagues a number of elements from -- also from colleagues of other confederations to improve this transition, to make sure that the contractual elements, the corporate social elements for the restaurant tickets be preserved, and you play that part, you played your part. And these elements are all there. And I think so much that it's part of the same thing that we work together so that the social tool -- the internal social tool we develop, workplace be open to everyone that our digital training be open to everyone because we don't have 2 companies. We have one companies -- one company. And the only thing we can do to continue to make sure that we progress is to ensure that both are developing at the same time. Of course, you have your worries. You have your figures. We have ours. If you asked a question, is there some worry in the shop when there is a transition?  Of course, it's always there. It's very interesting because I like study, just like you do. But we have -- you do the same study 3 years later and you go to the same shops, and you ask them, are you satisfied in your vision of is it easier? Is there still addition to the company? The figures -- and we're questioning ourselves about that with my colleagues, the figures are more important. There's more adhesion because, as you know, an entrepreneur is sometimes more simple. It's faster. There's a strong family feeling. So when you ask the same shops, you realize that once the transition has happened after a moment of being worried, there is addition and even satisfaction. And so for me, these 2 groups, these 2 sort of companies have to work together. There's not one and the other. We've got integrated shops that are absolutely crucial for our development. It is so significant for us. And then there is the franchise world. And -- there is nothing better than a former director of shop, who says, I invest and I buy a shop in management allocation. Regarding purchasing power, this is a very important question for us and elsewhere, and it's generating worry everywhere. We've tried with Jerome Nanty and our teams through social dialogue, and I want to highlight the quality of the social dialogue. It is thanks to that, that we have those systems put in place where we're able to accompany this increase of the inflation. As you mentioned, there were bonuses, exceptional bonuses as we were facing the inflation and then when we had the health crisis. But we also had 3 increases -- successive increases in November, February and July, next July, which will increase to 3.8% the pay of our teams. And then there is a result of your own work, the participation of yourself, which progressed of 60% reaching EUR 943. And that's the result of the work you have done. And so we try as best as we can to accompany the worries about purchasing power, which is a legitimate one. And that's why, of course, the teams of Jerome Nanty have accepted your request to open on the 6th of September, as was planned the close of [indiscernible] to discuss the situation a few months before because we signed our agreements a few months before to discuss the question of the issue of purchasing power in the company. Thank you. Number three, sir?
Unknown Shareholder: Good morning, [indiscernible] individual stakeholders. 2 comments and one question. Of course, we appreciate our stakeholders the fact that the company is going forward and that it's doing better after you took over. But the fact that it's doing better and the stock price, I wanted to relativize that because when I acquired at the beginning, it was -- it was at EUR 30. So there's still a long way to go. But I want to acknowledge what you have done, however. Second part, I appreciated the assessment of your director and the appreciation of your director. It was something absolutely crucial in a company as big as Carrefour, that people were preoccupied with social corporate responsibility. The third point is my question. It's a bit strange. I was trying to read things about the number of financial actions with administrators. Maybe something escaped my reading, but I don't think so. Apparently, administrators, salaried administrators don't have actions that are mentioned. So 2 questions. Do they not have actions actually? Are there any rules on that? And let's understand very well. It's not a question of defiance of salaried administrator. If we have 3 instead of 2, I would be happy, but it is my thought that administrators must have financial actions to show their interest and their implications in the company. The same way that nonemployees have it. After Francis Smith who was a Director of Accela had been a question on this issue, by myself, actually, it was 30 years ago, so I look a bit different today, but I was already there. So I would like to have an explanation regarding this. And just one thing, too. I appreciate the relationship you have with the representative from the CFDT, the Trade Union. Thank you very much.
Alexandre Bompard: Thank you very much for your comments and your question. Thank you for your comments on the quality of the dialogue, social dialogue that we have with our trade unions, our partners. Thank you very much for what you said about the Director of commitment and the fact that you consider too, and I know you -- there's more and more of you that consider that the access on CSC, the transformation and the change of regarding CSC is so important for the future of the group. And as far as the company going further and further, we are well aware of the fact that it is still a long way to go. I will let Laurent answer the question about employees and administrators.
Laurent Vallee: It is true that the members of the Board for most of them have actions, financial actions, own actions, as you have seen in the document. So there's not a legal requirement when it comes to the administrators to have actions. But we could look at the 2 administrators that are part of the Board of Directors to see if we can have sort of solution and see if they would like to invest. So your remark and your comment is being considered and will be discussed with the administrators and among the Board of Directors. And you're also right, it is a beautiful reform that was carried out about 10 years ago now. At the beginning, it was something that used to upset members of the Board, but it is a good management to count administrators on our Board, and they play their own parts, and they're here for our debates. They have a different perspective, a different outlook on things. But we have active administrators who know the company very well. Again, we don't necessarily agree on all the topics, but is actually part of enriching the company.
Alexandre Bompard: Question number two?
Unknown Attendee: Good morning, Mr. President, Alan Madison, I am for PIE, an association for individual employees and partners. I'm going to be a little bit less -- give you a little bit less your praises than the previous person who asked the question. There's one point that worries me. He said we're going to present our strategic plan in the next 4. Don't you think that the best place to present it is -- the best moment to present is before or during the general assembly. And we are going to go through June and you're going to talk about the strategic plan and so that people can say, if they like it or not and comment on it. I think it's almost a kind of -- it's almost like you have no care of the employees of the company because you didn't do it during the general assembly. A few years ago, as an individual stakeholder, ask you how you wanted to associate individual stakeholders to the company. And you answered, I want you to participate to the payment of dividends, which is a practice that individual stakeholders -- shareholders like. And since 2 years, you've suppressed it, and you were quite happy about that actually. So you're going to say that people didn't like it. But keep in mind that individual shareholders actually like it. And you have to offer that to them whether they accept or not. Now you're imposing that choice on them. I would like to finish with a more positive point because it's nothing personal. I think the tax rate in France is going to go from 27.5% to 25%. Are you considering that decrease of tax in your evaluation?
Alexandre Bompard: Thank you, sir, for this series of questions. You have understood this morning with all the details we've given you in terms of what we did in 2021 and the projection we have for 2022. Nothing is more foreign to the way we feel about you than the feeling of contempt. We don't have any contempt towards our employees and we don't disregard our employees and our administrators. We have tried this morning to show you the financial statement in also in details what was going to be the strategic plan that we're going to present with all the layers that are already there, all the stones that are already on the table. It is important to, obviously, for instance, sum up our digital ambition to tell you how our acquisition in Brazil has strengthened the potential of our group, to talk about the ambitions on food transition through carrying costs, to make you feel that all these different elements are actually part of the strategic plan. But now we've got a bit of work. I mean, I would understand your question if I told you that the plan was going to be presented in 2 weeks. But luckily, we've got 4 months ahead of us. And the point is to adapt it to this new context that is so new. Nothing would be worse to have a plan drafted ahead of time that wouldn't take into account the fact that we are in an inflation context and a crisis context, that we had an experience for 30 years. It is a new environment for our company. We have a lot of perks, we've got a lot of assets, and we've got all we need to take advantage of our transformation and absorb this new economic situation, but we've got work to put that into action and to draft a plan of action. So that in November, we have a plan which I hope will please the shareholders. And we are going to do some tremendous work to refine that plan and quantify it as well. Matthias, regarding the second question so regarding the dividend in action, as you've said throughout -- for many, many years, the group offered its shareholders a choice between dividend paid through new actions or through cash. And a lot of financial analysis have been made on the topic. Yes, sometimes we have new actions on the stock, and it gives shareholders part of the company through these new actions, which they already own. The company changed a lot. We now have a generation of cash flow that you've seen in what I showed you earlier, which is very strong. We have got a very strong financial statement. It gives us means to put in place our strategy and speed up our development, and it gives us the means to pay cash shareholders without having to dilute. And there's also a signaling effect to show that the company restored its financial capacity and has the means to pay that dividend cash when you pay a dividend -- at least when you offer the option, when you give the option, it gives a signal. It shows the markets that maybe there is some difficulty to pay the dividend in its entirety in cash. And so we wanted to go further and that is quite symbolic to pay that dividend cash, and that is a symbol of the successful transformation of the group. The other question you asked about the tax rate, the IS rate, it is decreasing regularly in France. And it is indeed what's planned this year. We are going to benefit as a French company of this decrease of the IS rate. I suggest we go to number 8.
Unknown Shareholder: Good morning, ladies and gentlemen, [indiscernible] individual shareholders since 1997, and I'm losing money for 25 years, but that's not my question. I am also part of a panel of a hypermarket where I go shopping and during one of the meetings we had, I learned that the shop was throwing away EUR 3,000 a day of product, which corresponds to about EUR 100,000 per year for one supermarket. Of course, I've got nothing against social corporate responsibility and climate change, but I think you need to keep your feet on the ground a little bit more. First comment. Second comment, for many months now, I haven't been able to get the products that I'm looking for in the supermarkets. Although I am frequently making requests. I have to go to the competition even though I don't like it at all. Are you going to give more autonomy to your supermarkets so that they can satisfy the needs of the -- your customer basis? Thank you for the answer.
Alexandre Bompard: Thank you, sir, and thank you for your double loyalty too as a shareholder and as a customer. First of all, first question, which is an important one, is the question about the food waste, basically, if I sum up what you said. What I want to say is that we have developed a lot of actions because -- I mean, you're right, nothing is worse morally speaking, and economically speaking to waste food and to throw away food and products. It is absolutely unacceptable in our times. The priority for us is always to sell that is our trade. And so we took a number of initiatives in the past few years to favor the sale of products that are very close to their expiry dates by reducing prices for products, of which the expiry date is coming very close. And by building food basket, we did it with a wonderful startup, which is called Too Good To Go and they created baskets from products that were getting closer to the expiry date, and we celebrated a few weeks ago. We celebrated because I think it is a real success for all the teams, the fifth million food basket. So we are working all the time to improve that to build -- to come up with food baskets. But sometimes it's not enough and we have a lot of work that is being carried out by the Carrefour Foundation on all the products that we don't sell with a partnership with very, very big associations that you know, [indiscernible] food banks. And it allows us to give the equivalent, for last year anyway, of 44 million of meals that come from products that haven't been sold at Carrefour. We can still improve, we are working on it. But it is the way we're trying to deal with this issue, which, as you say, is morally and economically completely unacceptable. Regarding shortages now, shortages, it is the second big topic. The first one is the increase of prices and the second one is the risk of shortages on a number of products. Those shortages are caused by something that you know very well, supply difficulties, logistical difficulties, which are themselves related to the COVID crisis and the impact it had on the supply chain. They are strengthened by climate period that is very difficult when we see the effect of the drought today contributes to that. And of course, the tragic situation in Ukraine, which has very strong impacts on a number of our products. What I want to tell you about that is it's not a question of shops. It's not local products that are experiencing shortages. It's not about local shops. It's about the organization of our group and our group today, unlike what you experience at the local shop, our group, all the indicators are showing it. Our rates of rupture are much lower than before because we have a global organization. We have alternative circuits, allowing ourselves to get supply for products that are in shortages. And so we've got alternatives for that. So we have an organization that allows us to lower shortages within shops. We increase the levels of orders so that our customers don't face shortages. And because we are growing because things are going well. We have a good relationship with producers, our industrials, and they go more to Carrefour than to others, everything is not perfect. I'm sure you can see, for instance, oil, tissues and other products, sometimes for a few days, you can experience shortages. I'm sure you're often sure of that. But today, if you look at the whole -- and scientifically in every country, every day, our shortages rates are a lot lower than the rest. And that is because we have alternative supplies, and we are very close to our global providers, our global supply chains, thanks to the dynamic that we put in place. Question number 7.
Unknown Shareholder: Good morning, Jean-Claude Laurente, individual shareholder. In the eighth resolution, you asked us to renew the mandate of administrator of Mr. Edelstein, and you present this person as independent administrator. But he has 13 years of presence within the company. And I thought after 12 years, you were no longer considered as an independent administrator. Thank you for your answer.
Laurent Vallee: Good morning, sir. The rule that you mentioned is actually a rule that is part of the Code AFEP-MEDEF, which says that after 12 -- which says that after 12 years, and administrators is no longer considered as an independent. In principle, I say in principle because the independence of an administrator is always a competence of the Director of the Board -- the Board of Directors. In the case where this recommendation is not followed after 12 years, the Board of Directors must explain the reason why an administrator is nonetheless beyond this 12-year duration, still an independent administrator. This appreciation regarding Mr. Edelstein has been done for 2 years. It has -- it was already mentioned in our universal audit document last year. The Board of Directors regarding the personality and the experience of Mr. Edelstein and his outlook and his contribution to the work of the Board of Directors, the Board maintained that the analysis he did last year, decided to continue its independent status. It is not a mechanic rule. It imposes to the Board of Directors to question themselves about the independence of the given administrator after 12 years, which is exactly what we have done last year and this year to reaffirm that Mr. Edelstein is an independent administrator.
Alexandre Bompard: We're going to go to question 10, please.
Unknown Shareholder: Good morning. [indiscernible] Sete Group Carrefour. If we are here today is to announce the policy of the company, which makes employees precarious by putting the shops in management allowances. When that happens, we lose after 15 months advantages and salaries of Carrefour. You said earlier that for the customer, all the employees that work in the Carrefour shop belong to Carrefour. So we ask that you treat all the employees under the Carrefour brand the same way and that there would be only one unique status at Carrefour, that is requests that is perfectly legitimate. Regarding since the 1st of May 2022, sorry, the majority of employees of Carrefour Group are under the minimum wage, under the SMIC. Some of you don't know, I think the minimum wage in France, the SMIC, it is EUR 1,645.58 gross. Who can live with EUR 1,645? You mentioned the employees who are part of the Board of Directors, and you were very happy that they were there. But as far as the case is concerned, we are very much unhappy with their work. They don't give you the information that we're trying to give you since the 1st of May 2022. The employees of Carrefour are paid under the minimum wage. Thank you very much. I will give the floor now to Gaitan.
Unknown Attendee: Good morning, Mr. Bompard. Gaitan Couturier, employee at Carrefour. I wanted to bring a little bit of retrospect of what we've experienced during the pandemic. We were called the heroes at the front line. You gave your employees a bonus of EUR 100. And during this pandemic, you also announced a new wave of management allowance for 50 shops. That's how you thanked Mr. Bompard, the employees that had to go through this ordeal. And they wanted to thank you for that. I want to come back on the people you've hired, thanks to the help of the state. So we wanted to thank you for that as well. There is something that is very important, indeed. It is the inflation that we are experiencing at the moment, which, as you know, it is about 5%. Salaries have to be -- wages have to be increased quickly. We heard that this would be done in September. But I think the emergency is to increase them, increase the wages of the employees as quickly as possible for the future of your company. Thank you very much.
Alexandre Bompard: Gentlemen, I will not repeat myself and the things we'll be discussing among ourselves because other shareholders have to take the floor as well. I would like to come back on a number of points, 2 or 3 points on what you said. Of course, you know very well that not half of the Carrefour employees are under the minimum wage. That would be against the law. It would be against the history that has been taking place for 60 years at Carrefour. This is an issue that's too important for us not to be precise. Since May 2021, the minimum wage has been increased in France successively, represented a 6% increase since the 1st of May 2021 and the 1st of May 2022. This had a positive impact for our employees that are very close to the minimum wage, the ones that just joined the company. And then there is an effect on the people just above that, who see the increase of minimum wage getting closer to them. As you know, what we have signed with the trade unions, the effect is going to get balanced again because from the 1st of July, supplementary effects from our agreements, everything is going to be back in place. What you said this morning, you're going to say this is part of the financial exercise, but you can't say that an employee that destroy Carrefour is earning the same as someone who has been working 30 years for Carrefour. You can't say that because, as you know, it's not true. There is a double impact both of the bonuses for holidays after a year and after '16 year, which means that there is quite a significant gap of 3 months from -- between someone who just joins Carrefour and from someone who has 30 years of experience in-house. And it is because we collectively build a social model that allows this. Regarding the purchasing power we've already mentioned this, we've got discussions that are planned on September 6. After 3.8% of increase after the 1st of November -- between the 1st of November and today. Regarding young people, Well, no. You know, sir, I consider that when you are the first private employer of this country, you have a few responsibilities, including for people outside and young people. When the crisis was at its peak, when young people with a degree did not have any job opportunities, when people in the suburbs didn't know where to go, I mean you were the one who trained them in the shops. The fact that we were able to welcome exactly 19,000 new people with alternate contracts from difficult neighborhoods, I think it is an honor. It shows the honor of this company, and it shows the work that you have done on the field to train these young people and so that develop themselves going forward in the company. And so I on the contrary, think that it is a very -- part of the very positive elements of what we've done in the past few years. And of course, you're also right. I want to mention the commitment of our teams. I mentioned that earlier. Of course, you mentioned that EUR 100 bonus was paid during both of the crisis. But the work, the commitment, the solidarity that the team showed has been, as you have said, as you have highlighted, quite exceptional. We are going now quite close to the end. Actually, I think we even went beyond. I agreed to take a few more questions, maybe question three.
Unknown Shareholder: I have a couple of points to submit. First of all, when I arrived I would have liked to receive reference documents and the resolution text before the Annual General Assembly, and I asked for it several times, and we have only been sent a small reference document. Absolutely, that was not even -- it was difficult to read, and it's a pity not to receive these reference documents before the general assembly. I would have really liked to get acquainted with these documents before the assembly. And again, it was of the utmost importance. Second, and it's already been mentioned, for old shareholders like me, we need to keep in mind that our loss is huge. So congrats on the slight improvement, but there's still definitely room for improvement. On the promotion products on your catalog are attractive products, and most of the time, they are not available, which is a problem. So could you take a look at this? My comment is also valid for other products where things need to be reviewed, a bit more robustly because this program also has room for improvement. Thank you very much.
Laurent Vallee: Good morning. So talking about the reference document, I hear your observation on the possibility to read it. In terms of hard copy, we sort of try to make it as readable as possible. It was published several times online upstream. Several weeks ago, you can also ask for it to be sent to you. So it's definitely at your disposal.
Alexandre Bompard: On your question with regard to the stock exchange and then the product that are promotions to attract clients, of course, it is essential for us to have promotion systems that our catalogs are attractive in terms of products. It's work in the long run carried out with all its team. And we need to organize things in the most specific way with constant checks and comparison between stores because we know how essential it is to be able, thanks to our loyalty programs and our promotional systems to support the people suffering within their -- with their purchase -- power of purchasing. It's really -- we're really reviewing things every half day. So it is a serious work. We will take maybe a last question. Question number seven.
Unknown Shareholder: Good morning. Mr. Marmon, individual shareholder. I had a question dealing with my arrival here before entering this whole of this general assembly, there was a welcoming committee. I wanted to ask why. But considering the question just asked, I -- you've already answered part of my question. I had another comment. Mr. President, Mr. Chairman, you made a wonderful speech, a beautiful one, telling us that everything will be soon implemented. And since it is a beautiful speech, I really feel like believing in it, but we have inflation issues that come into play, geopolitical issues adding up to the situation. There will probably be difficulties in terms of distribution, and I do hope that you have the proper means to manage the whole thing in order that next year, you'll be able to tell us that we all progressed, that the group progressed. Thank you.
Alexandre Bompard: You said it all. On the beauty of the speech, but on what you've mentioned, I believe never before the group faced so many challenges. And I said so in my speech. I mean, we've hardly gone through so many crisis at the same time, a sanitary crisis, the climate issue, the emergency to solve it. And then the war, all of this will create fears, impact on the supply chain and so on. What I have tried to tell you in my speech, and you're right to say so, it is -- there are some difficulties. We are facing a lot of challenges, but we are organized. We are prepared. We have wonderful teams. We have the good strategy, a good level of reactivity. And I'm not going to tell you that it's not -- that the crisis are not affecting us. But we are ensuring the best we can, the continuity of the work of our collaborators, shareholders. And we trust in the level of commitment of our teams, of our Boards of Directors, and all the collaborators that do work in our stores, and we'll do everything possible to prove that we are ready to face this year in order to give you good news next year. We believe we've been useful for our clients during all these period. Thank you very much. I think we can now come to an end with this Q&A session. Thank you very much for your attention. And I would like now to give the floor to Laurent Vallee, which will now lead you -- guide you through the voting processes on this ordinary and extraordinary general assembly.
Laurent Vallee: Before voting, I will let you know about how this works. In order to vote the general assembly resolution, a tab has been given to you. It is strictly personal and is only meant to be used during this assembly. When the announcement is made, well, it appears automatically on your tabs, even though you're not actively using it. In order to vote, precede the following way, press on the button corresponding to your choice  in favor, green, abstention in the middle and red against. Click on the OK button before the closure of the voting processes. Once your vote validated, you cannot modify it. Thank you very much for giving back your tab at the end of the meeting. I'd like to inform you that the total retained by the shareholders represent 42% and 490 million, almost 500 million, or 68.4%. The quorum required for the validation of the ordinary and extraordinary assembly has been reached, and we can now vote the resolutions. With the first one, the approval of the social accounts for 2021. The vote is open. [Voting]
Laurent Vallee: The vote is closed. The resolution has been adopted at 99.81%. Second resolution, approval of the consolidated accounts. Vote is open. [Voting]
Laurent Vallee: The vote is closed. And the resolution has been approved at the same rate as the prior -- as the previous one. Now on the results and the setting up of dividends. The vote is open. [Voting]
Laurent Vallee: The voting is closed. And it's been adopted at 97.106%. Fourth one, reviewed convention. The voting is open. [Voting]
Laurent Vallee: Voting is closed and the resolution has been approved at 99%. Approval of the -- of Mr. Arthur Sadoun, voting as an administrator. Vote is open. [Voting]
Laurent Vallee: Voting is closed, and it's been adopted at 99.637%. Renewal of the mandate of Mrs. Flavia Buarque de Almeida. The vote is open. [Voting]
Laurent Vallee: The vote is closed. And this resolution is voted at 78%. Renewal of the administrator mandate of Mr. Abilio Diniz. [Voting]
Laurent Vallee: And the polling is closed. And the resolution has been adopted at 95,350%. Next proposal renewal as of the administrator mandate of Mr. Charles Edelstenne. [Voting]
Laurent Vallee: The vote is closed. Resolution adopted at 73,180%. Now approval of the information with regard to compensation of the social elements of the Code of Commerce. [Voting]
Laurent Vallee: Vote is closed, and adopted at 85,146%. Approval of fixed, variable and exceptional elements composing the global remuneration and advantages of all nature, first or assigned to Mr. Alexandre Bompard Director General for the year 2021. [Voting]
Laurent Vallee: Vote is closed. The resolution is approved at 58%, 830%. Approval of the compensation policy with regard to the President Director General due in -- because of his mandate as a President, Director General for 2022. [Voting]
Laurent Vallee: Vote is closed. Approved with 84,948%. Twelfth, approval of the compensation policy with regard to administrators due to their mandate for the year 2022. [Voting]
Laurent Vallee: Vote is closed, and has been approved with 97,232%. 13th resolution, notice on the ambition and the company's objective with regard to struggle against the climate change of the company. Vote open. [Voting]
Laurent Vallee: Vote is closed. The resolution has been adopted with 87,374%. The ability given for a duration of 18 months, at the Board operating on the actions of the company. [Voting]
Laurent Vallee: And the resolution has been approved with 97,440%. The approval given for a duration of 18 months for the Board in order to reduce the capital per action, the cancellation of actions. [Voting]
Laurent Vallee: Vote is closed. The resolution has been adopted at 97,397%. The power, the proxy for the carry of those formalities, the achievement of those formalities. [Voting]
Laurent Vallee: Vote is closed and approved with a -- for 99,99%.
Alexandre Bompard: Dear shareholders, this general assembly has come to an end. On behalf of the Board, I thank you for your attention and your questions. I now close this general assembly. Thank you to all of you. [Statements in English on this transcript were spoken by an interpreter present on the live call.]